Operator: Good day and welcome to the Superior Industries’ Fourth Quarter and Full Year 2017 Earnings Teleconference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Troy Ford. Please go ahead, sir.
Troy Ford: Thank you. Good morning, everyone and welcome to our fourth quarter and full year 2017 earnings call. During our discussion today, we will be referring to our earnings presentation, which is available on the Investors section of our website at www.supind.com. Joining me on the call today are Don Stebbins, our President and Chief Executive Officer and Nadeem Moiz, Executive Vice President and Chief Financial Officer. I will start on Slide 2, where I would like to remind everyone that any forward-looking statements contained in this presentation or commented on today are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results could differ materially because of issues and uncertainties that need to be considered in evaluating our financial outlook. We assume no obligation to update publicly any forward-looking statements. Specific conditions, issues and unknown factors that may represent forward-looking statements are noted in detail on the slide. I would like to point you to the company’s SEC filings, including our Annual Report on Form 10-K for the year ended December 31, 2016, our Form 10-Q for the quarter ended October 1, 2017 and the company’s forthcoming annual report on Form 10-K for the year ended December 31, 2017 for a more complete discussion on forward-looking statements and risk factors that may cause actual events to differ from these forward-looking statements. We also will be discussing or providing certain non-GAAP financial measures today, including value-added sales, adjusted EBITDA and adjusted EBITDA as a percentage of value-added sales. These non-GAAP financial measures exclude the impact of certain items and therefore have not been calculated in accordance with GAAP. Reconciliations of these measures to the most directly comparable data presented in accordance with GAAP maybe found in the financial tables including with our fourth quarter and full year 2017 earnings press release and in the appendix of this presentation. I now would like to turn the call over to Don Stebbins, our President and CEO. Don?
Don Stebbins: Thanks, Troy. Good morning, everyone and thank you for joining us today. Starting with Slide 3 of the presentation, we delivered strong financial results in 2017 with net sales reaching more than $1.1 billion with over 17 million units shipped. Value-added sales increased 51%, almost $617 million and adjusted EBITDA grew 58% to $140.1 million. For the full year, value-added sales per wheel increase nearly $3 to $36.27. Despite softer year-over-year industry production levels in North America, we saw overall unit shipment outperformance led by the addition of our European operations, which included 7 months of results as well as an improvement in North American mix year-over-year. We are also reaffirming our 2018 outlook which we originally provided on January 17 of this year. 2017 marked an historic point in the long-term trajectory of our business. With the acquisition of UNIWHEELS AG, we established our company as one of the largest aluminum wheel suppliers in the world. We are the leading OEM aluminum wheel supplier in North America, the third largest supplier in Europe and a leader in the European aftermarket. Today, we have a diversified and more extensive geographic footprint, with almost 50% of our sales now coming from Europe, the strength in portfolio of innovative products, enhanced manufacturing processes that will allow us to drive manufacturing improvements across our footprint, and more diversified relationships with global OEMs in North America and Europe. As a result, we are now better positioned to compete and serve our global customer base with a broadened portfolio of differentiated technologies and capabilities. Turning to Slide 4, over the last several quarters, we have communicated several priorities as we look ahead for our business. To-date, we have made significant progress and I’d now like to provide additional details on these initiatives before turning the call over to Nadeem. First and foremost, we continue to position ourselves to capitalize on the secular tailwinds in Europe and North America including increasing wheel diameters, the growing importance of light-weighting and the move towards more sophisticated designs and finishes. In 2014, 13% of Superior’s product portfolio was 19 inches and larger in diameter. Today, this group makes up 17% of our current volume and by 2020, 19-inch and larger wheels are expected to represent more than a third of our global product portfolio. Additionally, the need for lighter weight wheel designs is becoming increasingly critical for our customers to meet fuel efficiency standards and in the case of electric vehicles to achieve their vehicle range objectives. In late 2017, we received our first pattern for our lightweight wheel design and our first wheel will launch in 2019 on a North American program. Based on the strong interest and positive feedback received from our customers, we expect additional growth opportunities with this technology. Second, we are expanding our customer opportunities by providing solutions to the evolving needs of our global OEM customers. We have the benefit of a fresh set of eyes our R&D perspective with the merger of two excellent engineering teams. As our teams come together, our combined technical expertise offers innovative solutions to our customers and in turn provides opportunities for expansion. We continue to make additional investments in new technologies and capabilities to ensure we are ahead of the industry trends in bringing relevant solutions to our customers. We are also continuing to focus on building a best in class organization and are seeing solid improvement from the organizational changes that we have made since mid-last year. More specifically, in our North American manufacturing operations, we are seeing progressive improvements. Production levels at each of our facilities in Mexico has improved, quality incidents are down substantially from last year and scrap rates are at the lowest in the year. We have recognized that to achieve our objectives one quarter or one month in the right direction is not enough, but we continue to focus on making ongoing improvements. Lastly, we are committed to further driving margins and improving cash flow. The manufacturing initiatives coupled with the growing percentage of our product towards larger diameter wheels and premium finishes lead us to expect to see positive margin expansion over the next several years. Looking ahead, I believe we are in an excellent position to drive long-term sustainable growth and profitability as we capitalize on the tremendous potential for our transforming organization. With that, I will now turn the call over to Nadeem.
Nadeem Moiz: Thank you, Don and good morning everyone. I will now provide a more detailed overview of our financial performance for the fourth quarter and full year 2017. Moving to Slide 5, North American light vehicle production levels for 2017 were down roughly 4.3% compared to 2016. This was mainly driven by a decline in passenger car sales. Superior’s North American shipments were down approximately 6.4% which was also driven by lower passenger car sales. More specifically, we supply certain customer programs that were down more than the overall market. European light vehicle production grew 0.3% on a year-over-year basis. Our European shipments increased by 9.2% as we grew with the market and ramped up our newest facility in Poland. On Slide 6, we can see our fourth quarter 2017 financial summary. Total unit shipments for the quarter were 5.4 million, up 2.3 million units from the fourth quarter of last year. Net sales were $361.8 million compared to $188.3 million last year. The value added sales were $203.5 million compared to $106.4 million last year. I will provide additional commentary on changes in sales as we get to the sales bridge. For the fourth quarter of 2017, we reported a net loss attributable to Superior of $4.6 million or $0.50 per diluted share. This includes $5.2 million or $0.21 per diluted share for one-time acquisition related expenses and the revaluation of preferred equity conversion option that is part of the capital structure post acquisition. As a reminder, this conversion option will be revalued on a quarterly basis. In addition, for the quarter and year ended December 31, 2017, company’s net income includes the provisional income tax expense related to the impact from the U.S. Tax Cuts and Jobs Act of approximately $16.6 million or $0.67 per diluted share. This is comprised of $9.3 million related to one-time transition tax and foreign undistributed earnings and $7.3 million related to the remeasurement of our deferred tax assets. Just a few other points you highlight from the full P&L that you can reference in the appendix. SG&A expenses for the fourth quarter of 2017 were $25.9 million compared to $6.9 million in the prior year period. The increase is primarily due to the inclusion of our European operation and one-time costs related to integration totaling $7.2 million. Interest expense for the fourth quarter of 2017 was $11.6 million and depreciation and amortization was $23.5 million. In summary, SG&A, excluding integration interest expense and depreciation and amortization expense, during the fourth quarter, a good reference point in terms of the current run-rate. Now, let’s take a closer look at sales for the quarter on Slide 7. Net sales for fourth quarter of 2017 were $361.8 million compared to net sales of $188.3 million in 2016, an increase of $174 million. $171 million of this increase was due to the addition of our European operations and $3 million came from North America. The increase of $3 million in North America was driven primarily by higher aluminum prices, which is a pass-through, offset by impact of lower volumes. Turning to Slide 8, adjusted EBITDA for the fourth quarter of 2017 was $48.9 million compared to adjusted EBITDA of $18.7 million in 2016, an increase of $30.2 million driven by $28 million from our European operations. In North America, we had the impact of lower volumes, positive FX and improving year-over-year cost performance. As Don noted, while we have more work to do, we are seeing steady sequential improvement in overall operating efficiencies in North America. On Slide 9, let me walk you through cash flow. For the fourth quarter of 2017, cash from operating activities was $46.5 million. We have continued to identify initiatives to enhance cash generation opportunity for working capital management and global tax planning. CapEx was $14.1 million during fourth quarter of 2017. This includes CapEx for our European operations. In addition, we have purchased 5.5 million in outstanding shares from minority shareholders of UNIWHEELS bringing our total ownership to 94.1%. During the fourth quarter, we paid $2.2 million in common dividends and $3.9 million in preferred dividends. In terms of liquidity at the end of fourth quarter, we had ample liquidity as we had no drawings under roughly $195 million available under our U.S. and European credit lines. Our long-term target leverage ratio remains at 2x net debt to adjusted EBITDA by 2020. In the next two slides, I will cover full year 2017 performance. Turning to Slide 10, net sales for the full year were $1.1 billion compared to net sales of $732.7 million in 2016. As you can see on the bridge increase of $375 million is due to the addition of our European operations. North American sales were relatively flat as a result of lower volumes offset by higher aluminum prices. Turning to Slide 11, adjusted EBITDA for full year 2017 was $140.1 million compared to adjusted EBITDA of $88.5 million for 2016, an increase of $51 million. The increase in adjusted EBITDA was driven by inclusion of $61 million from our European operations. North American adjusted EBITDA decreased by about $10 million on a year-over-year basis. This decrease was driven by lower volumes of specific programs, negative performance in the first half of 2017 and favorable impacts from FX and timing of aluminum flow-through. And lastly on Slide 12, let me take a moment to walk you through our full year 2018 guidance, which we have reaffirmed today. We expect unit shipments of 21.25 million to 21.6 million and net sales could be in the range of $1.45 billion to $1.5 billion. The increase in sales for 2018 includes a full year of European operations, volume growth in Europe and full ramp up of our facility in Poland relative to 2017. In terms of value-added sales, we anticipated a range of $800 million to $835 million. And we expect 2018 adjusted EBITDA to be in the range of $185 million to $200 million. Capital expenditures are expected to be approximately $95 million, which includes maintenance and growth. Cash flow from operations is expected to be between $160 million and $180 million. We also anticipate our effective tax rate to be in the 10% to 15% range. Note for 2018, the impact from the accretion of our preferred stock is expected to be at similar levels to the fourth quarter of 2017 on a quarterly basis. In addition, we expect one-time acquisition related costs to be in the $3 million to $5 million range. Finally, I would like to highlight our longer term goals. By 2020, our goal is to achieve value-added sales of approximately $950 million, adjusted EBITDA margin as a percent of value-added sales of 25% and net leverage of 2x. And with that, I would like to turn the call back to the operator for questions.
Operator: Thank you. [Operator Instructions] We will take our first question from Gary Prestopino from Barrington Research. Please go ahead.
Gary Prestopino: Hey, good morning, everyone.
Don Stebbins: Good morning Gary.
Nadeem Moiz: Good morning Gary.
Gary Prestopino: A couple of questions here, number one, Don, you mentioned that they are making progress in Mexico or are you like in the seventh or eighth inning there or are we still like in the third inning in terms of getting it to where you want to be?
DonStebbins: Yes. I would take this, Gary, we are in the third inning. We came out of the holiday shutdown the best since I have been here, production levels are stable and on plan both quality and scrap are improving, cost controls that we put in place are having an effect. Employee turnover is down substantially from the beginning of last year, so a lot of trends moving in the right direction, but still early stages from where we want to get to.
Gary Prestopino: Okay. So given that you are anticipating seeing the improvement throughout the year, for your North American operations given that it looks like you are doing more passenger cars than light trucks, do you think that you will be able to see an increase in adjusted EBITDA year-over-year and I am not asking for any kind of magnitude, I am just trying to get an idea of directionally what you guys are thinking for North American operations?
DonStebbins: So in the fourth quarter light truck I think it was about 56% of revenue in North America. The number of wheels in passenger car was 27% and the crossovers were 17%. So I would say more heavily weighted to the light truck area. In terms of margin improvement throughout the year, if there was a static level of launches, I would say yes. We fully expect that in North America and year-over-year we expect margins to be up in North America, that’s going to be impacted though by the number of launches that we have in the second quarter. And so depending on how those launches go with our customer in terms of their ramp-up in the schedules that will impact the sequential quarter-over-quarter margin look.
Gary Prestopino: Okay. And then lastly, when is that PVD facility scheduled to come online or is it already online?
DonStebbins: It should be starting – it’s one of the launches in the second quarter. So we are starting to run product through there now.
Gary Prestopino: Okay. Thank you.
DonStebbins: Yes. Thank you.
Operator: And our next question is from Chris Van Horn from B. Riley FBR. Please go ahead.
Chris Van Horn: Good morning. Thanks for taking the call.
Don Stebbins: Good morning, Chris.
Chris Van Horn: So when I look at the 2020 revenue outlook, are you kind of using basic industry forecast for production and then overlaying some of the things you see in the pipeline and do you have any sort of variable for adoption of higher bigger rims in that forecast, just kind of trying to piece apart how you get to that 950 number?
Don Stebbins: Yes. So, we do use the industry volume outlook high at IHS in particular. And then we also use our look at the backlog so to speak that we have the programs that we won. And so as an example with 18 inches and below in terms of wheel diameters in 2017 for the combined company was about 85%, we think in 2020 that’s going to be somewhere in the 65% range. So absolutely, we are going from 15% to 19 inches and above in 2017 or around that number to call it 35% in 2020 plus or minus a percentage point.
Chris Van Horn: Okay, perfect. Thank you. And then are there – is that kind of driving the growth in the margins for the same outlook and then a little bit can you get into the some of the puts and takes for your guidance for 2018 on margins, because what has to happen to get to that 24% level?
Don Stebbins: Yes. So, I will do kind of the longer term 2020 look certainly as we have been talking about for a couple of years now, the shift in larger wheel diameters and different fixes and more sophisticated finishes adding pad printing or PVD those types of things certainly play a role in the ability to increase the margins. I would also add that the synergies of the acquisition also start to really kick in, in that 2020 timeframe and you also have a better performing operation in Mexico along the way as well.
Chris Van Horn: Okay, got it. And then last one for me, I think some of your larger programs are slated to change over here in the coming years and I just was wondering do you see kind of a short hiccup in downtime and maybe margins get affected there, but just some idea of the cadence of when those new launches happen, is there any big – is there any disruption to operations that we should be thinking about?
Don Stebbins: Largest launch near-term is the T-1 that’s beginning this summer for us. And so our guidance incorporates that I think. The only hiccup, let’s assume that we launch well and then the hiccup would be if General Motors has some issues with the launch. We built in kind of their launch schedule and we expect them to be on that track or better and so really then it comes down to our performance in launching the vehicle.
Chris Van Horn: Okay, great. Thanks for the time.
Operator: Our next question is from Vahid Khorshand from BWS Financial. Please go ahead.
Vahid Khorshand: Hey, good morning. Question on going back to the ARPU, it looks like your North American ARPU from Q3 went down in Q4 is that because of the volume mix?
Nadeem Moiz: I am sorry, I didn’t catch it up.
Don Stebbins: Didn’t catch the question, please.
Vahid Khorshand: The ARPU in North American production seemed to have gone down in Q4 from Q3, is that because of the production mix that we are just talking about?
Don Stebbins: Okay. I think you are referring to value-added revenue per unit, is that what you are referring to.
Vahid Khorshand: Right.
Nadeem Moiz: Sure. So, if you look at revenue per unit or value-added sales per unit for North America, on a fourth quarter ‘16 versus ‘17 is relatively flat. So that value-added sales per wheel, I think that’s what you are referring to. So, on a year-over-year basis, it’s flat in North America. Clearly, when you look on a combined company basis, when you look at sales per wheel, value-added sales per wheel, on a combined company basis, there is a big up-tick, it’s almost $3.75 or so because of the European add and the accretion there.
Vahid Khorshand: But from Q3 to Q4 it went down just a little bit and I am trying to figure out is that because of shipping more units for passenger vehicles than before?
Nadeem Moiz: Yes, that’s correct.
Vahid Khorshand: Okay. And that is the trend that’s going to revert – has that reversed in Q1 or is it looking to reverse in Q2?
Nadeem Moiz: Well, the best view is the 2018 view we have shown and so if you look at that for the full year, we are feeling pretty good about our mix of our trucks and crossovers. And so we would expect to hard continue to continue to increase on a year-over-year basis. And so I wouldn’t get hang up on the Q3 to Q4.
Don Stebbins: I think as you look at the products that we are launching in the back half of this year there is substantial added value on those programs. So you may see in a relatively flat Q1 and Q2, but I think in Q3, Q4 there should be an up-tick in the value-added sales once those products launch.
Vahid Khorshand: Okay. And then just one more question and it’s more of a macro question in both North America and Europe there are macro factors going on, here we have the tariffs, there we have Brexit just kind of if you could just give an overview of how you think those may or may not affect you?
Don Stebbins: I think near-term what we have seen is some choppiness and in North America, Europe remains on its 1% to 2% growth trajectory. As we look at North America, inventories at the customers are at healthy levels. The economies are fairly robust, the average car park is – remains at all-time highs, unemployment levels are strong. So what we would say regarding let’s say the tariff situation here is that remains fluid, but bottom line, it’s not a significant issue for us, in that the aluminum tariff applies to primary aluminum and wheel import codes are not subject to the tariff . A little more detail around that is that we have won manufacturing plants in the U.S. which manufactures about 10% of our North American wheels and they receive most of their aluminum from Canadian suppliers which are exempt from the tariff. In terms of Brexit, I think that that remains to be seen. We don’t expect a significant impact there, a substantial portion of our revenues are generated from Germany and we are manufacturing in Germany and Poland. So I wouldn’t – I don’t think there is a significant disruption there.
Vahid Khorshand: Do you think on the Brexit side, any changes there might impact European volume sales?
Don Stebbins: I don’t think so. I mean all the forecasts that we have looked at and what we have seen in the past few months is that the European volumes continue to remain quite strong with kind of 1% to 2% increase over the next couple of years each year.
Vahid Khorshand: Okay, thank you.
Operator: Our next question is from Brian Sponheimer from Gabelli. Please go ahead.
Nadeem Moiz: Good morning Brian.
Brian Sponheimer: Good morning. Good morning Nadeem, how are you?
Nadeem Moiz: Great.
Brian Sponheimer: I want to stay on the tariffs, I am wondering taking and maybe looking the other direction, is there a market share opportunity for you to potentially grab some share away from imported wheels which are next we are going to have the higher cost potentially associated with them or is this entirely you had?
Don Stebbins: It’s – today the way the tariff is structured, it’s essentially entirely on primary aluminum and so a wheel from China, wheel from Mexico is not impacted at all from the – that the tariff that’s been put in place.
Brian Sponheimer: Okay. It’s strictly raw material…?
Don Stebbins: Correct, not on the components so to speak.
Brian Sponheimer: Right.
Don Stebbins: That’s correct.
Brian Sponheimer: Away from that the stub for UNIWHEELS, can you talk about the mechanics on the domination agreement there and what needs to take place for full conversion?
Don Stebbins: Yes. So today we own as Nadeem mentioned in his remarks, we purchased some more shares last quarter, we are at 94.1%, the domination agreement is in place, the delisting has occurred, we are receiving drib – I would call it dribs and drabs of shares coming in. The shareholders have the right at any point in time to put their shares to us at EUR62.18 and then we have our choice to try to squeeze out the minority. And there is two different paths to that. One is if we own 95% or greater. One is different path that if we own 90 – less than 95%. There are some tax considerations that apply here that – it’s probably more advantageous for us. If we were to go down or squeeze our path that we get to 95% first before we do that and those are the types of things that we are examining at this point in time. We are comfortable where we are at in terms of we can stay at 94.1, that’s fine, it doesn’t create any operational issues for us at this level with the DPLPA in place.
Brian Sponheimer: Alright, excellent. Thank you very much and good luck this year.
Don Stebbins: Thanks Brian.
Nadeem Moiz: Thanks Brian.
Operator: [Operator Instructions] We will now take our next question from Richard Phelan from Deutsche Bank. Please go ahead.
Richard Phelan: Good morning, I had two questions actually, just wondering if you could give us an update in terms of the ramp-up of the new Polish site. And then secondly, the interested area of views in terms of your the new competitor plant in Michigan that’s having an impact in terms of North American pricing?
Don Stebbins: Okay. Regarding Poland line three as we referred to it up and running, 100% no issues, doing very well as we would have expected. Yes, no issues there. In terms of the Dicastal plant in Western Michigan, we haven’t really seen any impact in pricing as a result of that. Again we have been battling Dicastal and prime and the other competitors for many, many years and I would say it remains a very competitive in this part of the industry. And we compete in there everyday. And so it really hasn’t changed. I think maybe for the customers there has been a shift, Dicastal has probably shifted some of their production from certainly their larger wheel production from shipping from China to a lesser Michigan to save some money on transportation cost would be my guess.
Richard Phelan: Understand. Thank you very much.
Don Stebbins: Yes. Thanks.
Operator: There are no further questions at this time. I would like to turn the call back to yourselves for any additional or closing remarks.
Nadeem Moiz: Great. Thanks Tricey and thank you everybody for joining us on the call today. Appreciate it. Thank you. Have a good day. Thanks.
Don Stebbins: Thank you.
Operator: This concludes today’s call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.